Operator: Ladies and gentlemen, welcome to the Sika Half Year 2025 Results Conference Call and Live Webcast. I am Shari, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Dominik Slappnig, Head of Communications and Investor Relations of Sika. Please go ahead.
Dominik Slappnig: Yes. Good afternoon, everyone, and a warm welcome to our half year conference call. I'm delighted to be joined today by Thomas Hasler, our CEO; Adrian Widmer, our CFO; and Christine Kukan, Head of Investor Relations, plus Jomi Lemmermann, IR Manager. We are excited to share with you the performance highlights and key developments for the first half of the year. Earlier today, we published our half year results and made the supporting presentation available on our website. Thomas and Adrian will shortly walk you through the main achievements, financial results and provide insights into our outlook. Following their remarks, we look forward to answering your questions. At this point, I will pass the floor to Thomas, who will commence with an overview of our key highlights.
Thomas Hasler: Good. Thank you, Dominik, and welcome also from my side. And I would like to start the half year reflection with where we took off in January, February, with momentum that continued to deliver as expected and in the Americas as well as in EMEA and with a softer market in China. Through the duration of the half year, we have seen input factors that have been very challenging and unprecedented in regards to the global economy and the applicable tariffs and the relationship between the main players in our industry. I believe when we look back and consider all this uncertainty, Sika has demonstrated its resilience to all weather conditions. It has gained, in difficult markets, market share and it has also been able to do this in a profit margin increasing way. Let me now go a bit into the key elements that we have seen and how that has contributed. I think when you look at the EMEA evolution, it's very nice to see that besides the strong markets in the Middle East and Africa, we also see a continuous growth momentum in Europe, here starting in Eastern Europe, but also soon moving over to the other parts of Europe. So EMEA, a region that has demonstrated its consistent improvement. The Americas, strong start, a bit confused by the tariff discussion with the Canadian and Mexican countries, but then the escalation with the Chinese government, we could clearly see towards the end of the first quarter that this confusion has also confused our customers. Our customers took a bit sideline step, and we're kind of holding, and waiting for how the dust is settling. And this has, I think, to quite a bit of a large degree now been done. I think the China escalation has cooled down. Japan is clear. The U.K. has an agreement. And finally, also just recently, the European situation is clearing up the sky. And this is probably the most relevant aspect that clearing up the sky means the predictability for our customers is now better and activities that have been put on hold or have been postponed can now restart in the second half. So this is just as to the situation in the Americas, where we also have a continuation less impacted by the tariffs in Latin America where we have good growth momentum, similar to what we see in other parts of the world. When I move over to Asia Pacific, Southeast Asia, India has a very strong momentum. But as mentioned, China with the escalation with the U.S. government also having difficulties to regain momentum and having deflationary elements still impacting the recovery. But moving now over to the consolidated numbers. I think we have demonstrated that we can outpace. We have 0.6% local currency growth, which comes from price and from volume in a declining overall market condition. We have been able to safeguard our material margin on a very high level of 55.1%. And we were able also to offset lower volume growth by efficiencies and synergies. And here especially also we would like to outline the increase in our MBCC synergy targets, which we have raised by CHF 20 million for the ongoing year as well as then for next year, which is the final year of the full integration of MBCC. At the same time, we see that these market conditions are offering great opportunity for consolidation. We have been able to close 4 acquisitions -- bolt-on acquisitions, small and midsize in nature, in roofing, in building finishing and also in an expansion in Qatar. This is just indicative of a market that has been in the recent 6 months demonstrating more opportunity. And for us, a great opportunity to also consolidate this fragmented industry furthermore in the coming months and years ahead of us. On the EBITDA margin, we were able to expand our margin by 20%, to 18.9% as mentioned, several elements that contributed to this. Also, our CapEx spend has been well positioned into locations where we are investing into future growth. In Singapore, Kazakhstan, Morocco, Brazil and China, we have done substantial allocation that is also fueling future demand with most efficient and innovative products that we can produce locally in all these markets. But with that, I would now hand over to Adrian to go a little bit deeper on the set of numbers.
Adrian Widmer: Thomas, thank you, and good afternoon, good morning to all of you in the call. As said by Thomas, I will now go into a bit more granularity here on the financial results. Starting at the top, as mentioned, in a market environment that continued to be quite challenging and volatile overall, we posted a modest sales growth of 1.6% in local currency in the first 6 months of the year. Organic growth was 0.6%, which means we have again outgrown the market that continues to be negative. And acquisitions, namely here, the small residual impact from last year's transactions as well as the initial contribution of the 4 transactions mentioned by Thomas this year have added 1 percentage point of additional growth in the first half of 2025. On the other hand, sales were adversely impacted by foreign exchange movements, especially in Q2 where the Swiss franc strengthened by 10% against the U.S. dollar and a number of other currencies. Overall, the adverse foreign exchange effects reduced local currency growth by 4.3 percentage points in the period under review, but particularly in Q2, where the foreign exchange impact was more than 7% in isolation. Corresponding growth in Swiss francs for the first half year was minus 2.7%, owing to these foreign exchange effects. On regional level, we have seen different trends in H1. Region EMEA grew 1.9% at constant currencies. Organic growth was 1.4% in with a slight recovery and improving trend in the second quarter, which was in isolation, plus 2.4% in local currency. And Sika recorded significant double-digit growth and increases in Middle East and Africa. Construction markets are also showing the first signs of recovery in Eastern Europe. Acquisitions added a small additional increment. This is namely the Cromar acquisition in the U.K. Foreign exchange effects at minus 3.4% were also here negative. Sales in the America region also here, as outlined, grew by 3.5% in local currencies. Organic growth was 1.3% for the first -- for the half year period, down from the first quarter. After a good start to the fiscal year, the mixed signals in U.S. trade policy unsettled many market participants, which also somewhat slowed the market momentum in the U.S. and in North America. While this caused Sika's growth in the U.S. and Mexico to weaken, the positive growth momentum of the previous year continued in Latin America, while investments in data centers and government subsidized infrastructure and commercial construction projects continued to also support the U.S. construction market. And the 4 bolt-on acquisitions done in the region last year, and in the first quarter of this year added a further 2.2% to local currency growth, and as highlighted, adverse foreign exchange effects were particularly profound in that region and reduced local currency growth by minus 6.5% in the Americas in the first half year, particularly driven here by the weaker U.S. dollar, but also for example, the devaluation of the Argentinian peso. Sales in Asia Pacific declined by minus 4.7% in the first half of '25 with organic growth being negative at minus 2.1% for the period. This result is mainly attributable to the challenging deflationary market environment in the Chinese construction sector for which we are focusing on protecting margins and driving efficiencies. If we were to exclude here the negative development in China, Sika would have achieved a lower single-digit growth in the region in the first half year. Market development in that region were particularly dynamic in India, Southeast Asia, but also in the Automotive & Industry segment where Sika was able to further expand the share of its technologies in vehicles from both local as well as international manufacturers. M&A. And here, this is the acquisition of Elmich contributed 40 basis points of growth. Also here with adverse foreign exchange impact at minus 3.2%, reduced local currency growth to minus 4.9% for the first half year. Turning now to the full P&L and looking at material margin, where year-on-year, we have been able to maintain gross result at consistently high level, in line with previous year at 55.1% of net sales, here in spite of the deflationary environment in China and the small dilution minus 10 basis points coming from M&A, where material costs were broadly flat in the first half year. On the cost side here, reported operating costs, which include both personnel costs as well as other operating expenses, decreased over-proportionally in the first 6 months of the year versus the same period in '24. This was driven by continued strong MBCC related synergy development as well as increasing impact of operational efficiency measures largely offsetting ongoing yet reducing cost inflation. In looking at personnel costs specifically, which were basically flat year-on-year on a reported basis, we have seen underlying wage inflation at about 3.5% per annum, coming down closer towards the normal 3% increase year-on-year, which we typically see on a like-for-like basis. This was partially an increasingly offset by cost synergies as well as operational efficiency initiatives, which have accelerated in Q2. Other operating expenses decreased strongly over-proportionally by minus 6.6%, is versus a top line decline of minus 2.7%, also here driven by MBCC synergies and accelerated operational efficiency measures. Talking about synergies from MBCC. Overall here, the integration of MBCC continues to go very well. We've realized total synergies in the amount of CHF 79 million in the first 6 months of 2025. This is an incremental CHF 26 million versus the same period of last year, pushing here total expected synergies for the full year beyond the CHF 160 million upper range of our previous guidance, allowing us to increase the full year guidance to CHF 160 million to CHF 180 million for this year, but also then lifting the guidance for the overall synergy target to CHF 200 million to CHF 220 million by 2026. As a result, EBITDA margin here, as highlighted by Thomas increased by 20 basis points to 18.9%. This is up from 18.7% in the same period of last year. Absolute EBITDA decreased under-proportionately by minus 2.1% to CHF 1.070 billion due to foreign exchange translation effects, in line with the effects on the top line here also highlighting strong natural hedge and decentralized cost base in line with our invoicing currencies. Depreciation and amortization expense was virtually flat in absolute terms or 4.8% of net sales, as favorable translation effects were offset by purchase price accounting effects on the intangible side as well as a slightly higher depreciation rate. As a result, EBIT ratio remained flat at 14.1%, while absolute EBIT at CHF 798 million reduced by 2.9% from last year, again here due to unfavorable currency translation effects. Turning to below EBIT items. Firstly, here on the interest expense side, interest -- net interest expenses decreased by CHF 10 million, down from CHF 79 million to CHF 69 million. The decrease is largely related to the scheduled repayment of the first Eurobond in Q4, '24 taken out to finance the MBCC acquisition. In addition, other financial expenses has also showed favorable development, representing a net income of CHF 10 million, up roughly CHF 9 million compared to the same period of last year on favorable hedging cost development, lower inflation accounting effects and higher income from associated companies. On the contrary, group tax rate increased from 22.4% to 25% in the first half year largely related to positive onetime effects in the previous year, and higher withholding tax on internal dividend distribution this year. And also here, as a result, net profit ratio was largely unchanged at 9.8% of sales while absolute net profit at CHF 554.4 million was also impacted by currency translation effects and down from last year. On the cash flow, talking about cash generation here in the first half, cash generation was broadly in line with the multi-year average but operating free cash flow of CHF 181.9 million was lower than the exceptionally high previous year, which was at CHF 401 million. The reduction is partially due to a stronger seasonal increase in working capital, higher investment in future growth and efficiencies, and higher cash taxes, as well as an impact of unfavorable currency movements compared to last year, particularly relating to hedging of intercompany financing. For the full year, we expect operating free cash flow in line with our strategic targets to be above 10% of net sales, as cash generation is heavily skewed towards the second half of the year, and will additionally be supported by group-wide net working capital initiatives. In comparison to December 2024, the balance sheet saw the normal seasonal development in terms of net working capital balances, but at the same time, a shortening of the balance sheet relating to the strong appreciation of the Swiss franc, particularly versus the U.S. dollar. In March, we entered the Swiss capital market with a triple tranche straight bond issuance in the total amount of CHF 500 million at favorable rates, reducing drawdown of our RCF facilities, and partially replacing higher coupon Eurobonds that were repaid as mentioned in November last year. Revolving credit facility drawdown stood at CHF 1.064 billion out of CHF 2.2 billion at the end of June, and net debt-to-EBITDA leverage stood at 2.5x, slightly down compared to June last year, but up versus year-end, owing to seasonality and the payment of the dividend at the end of March. With this, I conclude my remarks and hand back to Thomas for the outlook.
Thomas Hasler: Thank you, Adrian. And as I started the year with the unpredictability on the markets, I think we have some better visibility now. But still, we have to be cautious about the next 6 months. And therefore, Sika is clearly committed to continue its outperformance of the markets to grow in difficult markets, at the same time, focusing on margin improvement so that our market gains are turning into profitability improvements. For the top line, we are guiding for modest sales increase in local currency for the full year. For the EBITDA evolution, we reconfirm our former guidance of an EBITDA margin of 19.5% to 19.8%. At the same time, we are fully convinced about the implementation of our strategic midterm targets, which are demonstrated in our Strategy '28 for sustainable and profitable growth. With this, we then move on into Q&A.
Dominik Slappnig: Okay. We are now opening the line for the questions, please.
Operator: [Operator Instructions] The first question comes from the line of Ben Rada Martin, Goldman Sachs.
Benjamin Rada Martin: I just had two, please. My first was on price over cost dynamics as we go into the second half of this year. I'd be interested in some of your updated thoughts on the pricing contribution for the last 2 quarters of the year, and whether you're seeing any deflation when it comes to the raw materials side of your cost base? And secondly, it would just be on China. Adrian, you mentioned you're focusing in the region on protecting margins. I'd be interested in what kind of strategies you're developing to do that? What kind of cost growth, or cost out are you looking for in the region? And can you give us an update on how you're seeing the China channel opportunity develop? I know that was an area where you potentially saw some revenue opportunities?
Adrian Widmer: Yes. Thanks here for the questions. I'll take the first one. In terms of price over cost, as I mentioned, input costs have been, I would say, broadly flat with some volatility, I would say, and more lately, probably more sort of downward pressure at least a slight one. So going into the second half year, we don't expect sort of big movements and potentially a slight here tailwind. In terms of pricing, we have seen really a very sort of marginal contribution in Q1, a bit more in Q2, which was partially offset also by this deflationary environment in China where there is more, let's say, price pressure in terms, let's say, the net impact in the first half year, it's been about 30 basis points on a net basis in terms of in terms of pricing. I think also here going forward, we will continue to be focused here on value pricing of our solutions going forward here into the second half year.
Thomas Hasler: Maybe to give also a bit more granularity about the China business. Since I visited them 2 weeks ago, we have to see here clearly differentiation between our, let's say, residential retail-driven business that has the biggest challenge as there, there is a deflationary element that we are adjusting through selective price increases and efficiency improvements. On the other hand, we have the direct construction business that is holding strong when it comes to pricing and also to efficiency but has some volume impact from a 25% decreased foreign direct investment volume in this year. And then thirdly, I think we also have to note and share that our A&I business is really going very strong. The market is strong. The electrification is in full, let's say, conversion mode, and we participate and we can almost double-digit growth in China in that segment. And it is also one of the areas where we believe China is very relevant market for us to be. Things can change quickly. 10 years ago, the auto industry was dominated by European and American players. But now the Chinese have turned this around, and we are there together with them, and we're also ready to expand with them into other geographies. And in construction, we see similar tendencies that Chinese main contractor also want to go abroad into Southeast Asia and other parts of the world. And for us, this market is great to be in. It's challenging. At the same time, I think we have a strong performance drive, and we'll also bring that to the result as expected for the second half.
Operator: The next question comes from the line of Martin Flueckiger, Kepler Cheuvreux.
Martin Flueckiger: I've got three actually, but I'll take one at a time. First one is on your -- Thomas your statements regarding market share gains and outperforming, or outgrowing construction chemicals markets in H1. Just wondering whether you could put some numbers or estimates on your part to this claim, and also the regional or geographic markets where you believe you've gained market share? That's my first question. I'll come back for the second one.
Thomas Hasler: Okay. Yes. Here we have clear signs and also our own assumptions from the regional or from the -- actually more than geographical main centers. When we look into Europe, Europe still has, when it comes to production or construction output, very challenging situation. We see we can overcome this, and we have a gap of about 3% between the market as we see it addressable for our chemicals versus our own performance. So we have this continuous 2% to 3% outperformance, but also in North America, where we had a very strong start, where also the underlying market demand was moving in the positive direction, this has slowed down. And we have kept our gap towards the market also in the U.S. The same in a bit a different way is the case in China. The main competitors in China are facing 30% to 40% declines, in profitability up to 90% declines. Here, also clear outperformance, but it's a bit special situation with the challenges that the Chinese market is providing.
Martin Flueckiger: Okay. That's helpful. And turning to the focus on the U.S. commercial market where you've said it, and you're not the -- Sika is not the only company saying that you've been impacted by the trade tensions. What are you seeing -- judging from the leading indicators that we've seen coming from the U.S. recently, construction confidence seems to be on the rise again. Are you seeing that on the ground? And what are the latest insights you're getting from customers in the U.S. commercial market?
Thomas Hasler: I mean on the commercial market, it's very clear. We have a fantastic momentum with the data centers. This is really flying. This is one of the elements that we also consider for the coming years to be on a strong growth [ traction ]. But on the manufacturing side, this wait-and-see element has been impacting, started in end of March until now. When I look at our, let's say, start into the second half, I think we can see here some comebacks. We see some activities when we look into our concrete business, when we look into our roofing business, there are signs that this may now be a bit overcome, and we move back to where we started the year, where we had very good momentum on this. I think this reshoring has been a bit put at pause. But now the tariffs are more clear and we expect also that we see here more momentum coming. And then it's not, let's say, on the commercial, it's more on the infrastructure side. That's also a business that has demonstrated very nice resilience compared to other segments and has also helped in Europe as well as in the U.S. for consistent market outperformance.
Martin Flueckiger: Great. And then my final question, then I'll step back in line, is regarding your new synergies that CHF 20 million that you've identified. I was just wondering whether you could provide some granularity. I mean this is not the first upgrade. I think it's the second, if I remember correctly, of the synergy potential. What is the additional source of these synergies? And yes, in what areas, please?
Adrian Widmer: Yes. Maybe I can add here some granularity. I mean, on the one hand, you have clearly seen here the traction we have been, let's say, delivering over the last 18 months, 2 years on here the synergy capture. And it's actually quite broad-based. But on the one hand, on the cost side, we have, over time, also seen more opportunities to drive here synergies and efficiencies, that's the one side. And this is really a bit across the board here, particularly also relating to, let's say, operations, if you will. And secondly, it's also the contribution from, let's say, the joint solutions we have been able to develop and deliver also here, let's say, more impact from top line synergies translating here into profitability. So actually quite broad-based overall highlighting here the strong also complementarity in many of the areas.
Operator: The next question comes from the line of Ghosh Pujarini, Bernstein.
Pujarini Ghosh: So I have two questions, one a slightly longer term. So if we take your 2025 guidance of modest sales increase and have to move to the 6% to 9% local currency growth by 2028. I wanted to know what kind of assumptions you are baking in, in terms of market recovery, market outperformance, pricing and so on? Could you give some color maybe for your most important markets like U.S., China, Europe? And the second question, shorter term. So we've seen a very big decrease in your operating free cash flow versus H1 of 2024. So some of the elements like higher CapEx, higher taxes are well flagged and understood. But could you explain some of these other moving parts, like the provision release, some hedging outflows and also on the net working capital? So on the net working capital, it would be good to understand that the increase versus last year, should that unwind over the rest of the year? Or should we expect higher net working capital at the end of the year versus FY '24?
Adrian Widmer: Yes, Pujarini, thank you. I'll take the second one here on the working capital. And yes, compared to, let's say, last year, which was actually a record for the first half year. The first half year typically is a lot smaller in terms of overall contribution compared to the second one due to seasonality. But if we break down here, let's say, the lower cash generation into its elements, as you rightfully pointed out, on the working capital side, there is about a CHF 50 million sort of increase or higher increase, compared to last year. And yes, here, I would clearly see this to unwind if we look at the drivers here in the first half year. One is relating to accounts receivables where particularly towards the end of the year and at the beginning, there has been, let's say, more support to our distributor clients in China with a bit extended terms, which were actually very, very low. This is something we will be sort of gradually dialing back here in the second half. Also an element that this is more broadly across the board of, let's say, inventory levels, which were geared to somewhat higher volumes, it takes a bit of time to also dial that back. And I think there is clear focus and opportunities on the payable side as we're sort of driving this across the board. So I think in terms of working capital, you can clearly assume this will be reversed out in the second half year. And the other elements in CapEx, I mean, clearly here, this is related to here, let's say, growth investments, particularly also on the efficiency side, somewhat larger projects, also a bit timing on the cash flow. I do not expect this, let's say, increase over last year to sort of linearly continue. But we will also see here CapEx, which is probably going to be slightly above the 3% of sales for the year. On the tax, also here, I mean, this is particularly the one-timers, and we will see, given the one-timers for the full year, a higher tax rate, but also here, the expectation is clearly not that we will continue, let's say, with this sort of linear increase of cash out on the tax side. And the last bit, and this is about CHF 60 million in terms of impact is relating to, let's say, the currency movements. I mentioned here the intercompany hedging where given how the currency moves, we actually had a positive cash effect last year. This year, it's negative. Also here, not a linear picture, obviously, given the volatility in the currencies is difficult to predict, but this is also not a factor that should be linearly extrapolated. So in a nutshell, clearly, the expectation and the target, obviously, that we will here meet or exceed our target of 10% of net sales in terms of operating free cash flow generation.
Thomas Hasler: Good. And then on our midterm guidance confidence. I think our strategy has a very strong base. The megatrends are valid, super valid in all regards. The urbanization is taking place. The digitalization is on the move, but what we see is an artificial backlog in implementation. When I look into Europe, we see some movements to address this. I think the German Infrastructure Bill is a clear sign that this backlog is tackled, and it has also reached across Europe to revitalize and put money back into the infrastructure as such. Also Europe is going to further roll out the legislatory green deal implementation, which also means that the solutions need to adapt. We talk here about the low-carbon solution, which are increasing, and we see here also that these movements to higher end, higher performing materials and solution is ongoing. The same in the Americas, we see a clear trend that with the execution of the Infrastructure Act that has been released, the projects are going to deliver in the coming years. But then in addition, we have all the reshoring activities, the industrialization that will further be taking place in the U.S. will drive also exceptional growth in the U.S. And when I look into China, China has also very clear midterm targets. The targets are to move into more quality construction, and also into leading global manufacturing abilities. This is most pronounced with the electrification, where they are clearly a forerunner on the electrification. And as mentioned before, we also see that the Chinese main contractors are building the muscles to also participate in other parts of the world. And in simple terms, our guideline for the midterm of 6% to 9% has a lot, which is, let's say, in our hands with the acquisition contribution of 1.5%, with the outperformance in the range of 2.5% to 4%. But of course, also some, let's say, market growth is considered in there, and the minus 2% to 3% that we have seen last year and also this year, that's not the norm that is going to move towards a 0, that's going to move into a 2% growth ratio within the midterm target time line. So all the elements are absolutely valid and reconfirmed, and we should not, let's say, take this short-term disruptive elements as an underlying change in demand and in the outlook.
Operator: The next question comes from the line of Patrick Rafaisz, UBS.
Patrick Rafaisz: Can I follow up firstly with the comment around the midterm. And I understand all the structural trends and drivers that you described. But if we stick to the explicit time frame to 2028 and assuming that modest growth means H2 is somewhere similar to H1, let's say, 2% local currency, you would need to see a massive acceleration in '26 already to get close to that target at the lower end. So is your confidence both on the explicit financial targets or just on the, let's say, rolling midterm opportunity? That's my first question.
Thomas Hasler: I'm not sure if I get your question. I mean, we are moving -- this year, we're indicating 3% to 6% as kind of a step up from -- given the market condition. Now we are guiding for modest growth, which is probably in the neighborhood, as you mentioned. But we expect that the underlying demand will bring us safely into the 6% to 9% in the coming years. Of course, we can't predict all the market evolution, but the market demands are very clearly set. It is -- as demonstrated before, it is based on the needs. It's based on the evolution of the solutions, the performance drive, the sustainability drive, the new opportunities, and the 6% to 9% is, therefore, as a growth aspiration for the years ahead, absolutely realistic.
Patrick Rafaisz: Okay. Good. Then the second question would be on China. If we assume that the current run rate that you're seeing is maintained, what would that mean for Q3 and Q4, especially Q4, where the comps appear to be getting very easy given the prior year performance? Do you think you can get back to breakeven or positive by Q4? Or is it still implicitly negative at the current run rate?
Thomas Hasler: I think here in China, it's very clear, and I think it was also signaled by Adrian. We have some areas where we are focusing on streamlining, bringing our net working capital, our pricing in line. We have seen that the Chinese market is, let's say, first time facing such a situation, and also, our organization has, to some degree, let's say, compromised on some of our key metrics. And this is, let's say, on the pricing side. Yes, concessions are required, but cautious application, net working capital, accounts receivable. So we are on the way. We have started this at the beginning of the year. So we expect also that this will positively contribute and change the picture quite substantially in the second half compared to the first half.
Patrick Rafaisz: Okay. Great. And then the last question, a follow-up on China. You mentioned, I think, pricing for H1, 0.3%. Would it be possible to provide some color on pricing in China and ex China for Q2 and the first half?
Adrian Widmer: I mean the color is that as I mentioned that here outside of China, it was a bit above half a percentage point. And in China, your pricing was negative given the overall environment. That's the sort of overall composition. So let's say, the price component was here impacted by obviously the deflationary low volume environment in China.
Operator: The next question comes from the line of Cedar Ekblom, Morgan Stanley.
Cedar Ekblom: I just wanted to go back to costs because I think we debated quite a bit where the medium-term growth may or may not settle. There was a little bit of improvement on sort of personnel and other OpEx costs, which was very welcome after a couple of quarters of not great operating leverage. Can you talk a little bit about how we should think about those two buckets moving into the second half of the year? And then also more medium term, how we think about those two buckets into next year? Can we hope for a more accelerated pathway of cost out in those two items?
Adrian Widmer: Thanks, Cedar. I was kind of expecting this question as we obviously have talked about. But on a more serious note, I think overall, the trajectory is positive. If you look at, let's say, the overall contribution here on, let's say, the nonmaterial cost side, it is at least slightly positive, including here the synergies from MBCC. And as said, I mean, we continue to see good traction. We had about 40 basis points, let's say, improvement here driven by here synergies. On the other hand, sort of the residual, let's say, cost dilution of 30 basis points is, I would say, sort of underlying as we need about 3% of organic growth to have, let's say, operating leverage per se, given, let's say, inflation and the residual cost increase we need to drive the business at that growth, and would basically be about sort of 70, 80 basis points cost dilution, which we have sort of offset by about 40 to 50 basis points coming from here. Efficiencies, which going into the second half, I actually am confident that we will see sort of a further bigger impact of, if you look at, let's say, Q1 to Q2 evolution. I mean, this minus 30 basis points in Q1. They were probably closer to sort of minus 60 or so. So there is a clear progression here on, let's say, the cost efficiency side and synergies will continue also to contribute. I mean, going forward, here, the buckets, we will see another impact of synergies next year, probably also in the sort of amount to 30, 35 base points. On the efficiency, also based on the measures and initiatives where we're taking also here confidence that we will be able to add another, let's say, 40 basis points here of improvement. And then obviously, on the leverage side, requiring sort of the same level of organic growth as in the past to, let's say, be neutral. But to the extent we will move back to sort of above 3% growth, we will also here actually potentially see a bit of a positive rather than a negative impact. Was that clear enough?
Cedar Ekblom: It was. I didn't have any other follow-ups.
Operator: The next question comes from the line of from Ephrem Ravi, Citigroup.
Ephrem Ravi: Two questions. Just to follow up on Cedar's question on costs. The personnel costs, in particular, did go up although the other OpEx did come down. Is there like a change between sort of in-house personnel versus outsourced personnel for that kind of cost bucket to go up while other OpEx costs came down? And is there like a limit of percentage of revenue in terms of personnel costs like 20% or 21%, where you would kind of seriously think about sort of more radical measures at cost change? And second question, just on the North -- the Americas business, U.S. is clearly about, whatever, 60% of the revenue of that business. But despite kind of a relatively weak U.S. market performance, at least from the commentary, the revenues there are up pretty decently. So is it a disproportionate contribution from other countries like Argentina, Brazil, Mexico? And if that is the case, could you quantify that a bit?
Adrian Widmer: On the second one, you were asking foreign exchange impact? Or what was -- I didn't get the first part of the second question.
Ephrem Ravi: Yes, why the Americas revenues grew about 3%, while U.S., it looks like it was relatively flattish within that? Is that correct? And if that's correct, what would the growth in the other U.S. markets be like?
Adrian Widmer: Yes. And maybe the first one here on the personnel, or on the cost in general. I mean, there wasn't, let's say, a clear switch. But of course, on, let's say, the outside employees or temporary workforce, obviously, on a time line, it' quicker to reduce. If you look at the sort of underlying personnel cost, let's say, inflation, I was mentioning 3.5%, which is sort of coming down now to, I would say, sort of more normalized level, which is sort of around 3%. And I think here, we have seen sort of a move towards there. We were at sort of around 4% at the end of last year. We have additional, obviously, also personnel coming from M&A. So we're at sort of a 4.5% underlying, I would say, sort of like-for- like including scope changes. And we have here reduced that by about 1 percentage point through efficiencies, sort of underlying, if you take currency apart, there's about a 3% increase on the personnel cost. While on the other OpEx, a stronger reduction also related to obviously sort of more variable cost elements. But also on the personnel cost, this will increase the impact in the second half year as we continue to drive here efficiency and new cost effectiveness measures.
Thomas Hasler: Good. And then on the Americas growth [ traction ], I think when looking at the U.S. that started into the year with an almost mid- single-digit growth momentum. This has then slowed down to a low single-digit number. Canada, more or less also impacted like Mexico by this tariff dispute. They have been flattish, while Mexico has been negative. But correctly spotted, we have fantastic markets that are providing us a good healthy single-digit growth rates in Brazil, in Colombia, in Ecuador. We have in Argentina a significant double-digit growth. We also have some challenging markets like, for instance, Chile. But overall, LatAm is in this first 6 months also adding to the overall solid performance of the region Americas.
Operator: The next question comes from the line of Elodie Rall, JPMorgan.
Elodie Yvonne Daniele Rall: I'll have two. I first would like to come back to your guidance, but this time on EBITDA margin. So you reiterated 19.5% to 19.8% this year, despite the higher MBCC synergies. So I was -- my question is, when do you expect this EBITDA margin to be above 20%? And what kind of volume growth do you need to get there? I understand cost is being flexed a bit, but what reasonable volume growth you need to get to that 20% margin target? So that's my first question. And my second question is -- sorry to come back to 2026 outlook a bit. But I was wondering if you can reasonably return to the Strategy '28 target as soon as next year. For example, consensus is at 6% growth for next year. So do you feel that you can catch up some of the underperformance from this year and meet that consensus hurdle rate at 6% as soon as '26?
Adrian Widmer: Yes. Thanks, Elodie. I'll take the first one here. The 19.5% to 19.8% is sort of alluded to, obviously, here the key drivers on, let's say, the synergies, but also on the cost side where sort of efficiency will have a stronger impact in the second half, and also in combination with, let's say, on the material margin, where we here are driving at least, let's say, a slight improvement over full year of last year. So these are the elements driving here 19.5% to 19.8% EBITDA as under these assumptions here, the top line guidance here, the pure leverage as mentioned, will be negative. And going forward into '26, I mean, clearly here, we stand to our guidance and commitment of a 20% EBITDA. And if you think about, let's say, the impacts and the respective buckets, we'll see another element or the residual impact of the synergies coming from MBCC, as mentioned also here, continued impact on, let's say, the efficiency side. And then obviously, the leverage element is on top. But being here quite confident that we will continue to be able to drive here into that margin band as guided.
Thomas Hasler: Then Elodie talking about where we will be next year? Our aspiration is very clear going forward. At the same time, we are taking it quarter-by-quarter. But looking into what we see also this year coming, let's say, in favor is the ongoing recovery in Europe. So here, we have a steady growth. I would also point your attention to the, let's say, industrial manufacturing evolution, which has been challenged very much in recent years with the automotive industry in North America and Europe. But when you look into that, here, we have a clear reversal. We had a negative trend in Q1, minus 1%. In Q2, it's plus 1.6%. These things, they can accelerate. These things when we talk about Europe and stimuli allocation to the decarbonization if we have, let's say, clear guidance, not only on the infrastructure side from Germany, but also in other parts, there are good chances that the markets are going in the direction that the guidance -- becomes a guidance for next year. We also have, not to forget, our growth engines in every region, and we talked about LatAm, which is clearly there where it needs to be in regards to the midterm guidance. We have the same in Southeast Asia. We have the same in the Middle East and Africa even beyond. And then I would also point the attention towards the acquisition. I think we have a chance also on the acquisition side to bring it a notch up. There are more opportunities we see, especially small, midsize owners, family owners that are engaged to see an exit as they see the market is not recovering at their desired pace and we are going to take advantage of that as well. So it is certainly too early to provide a guidance for next year. But it doesn't take too much to bring us in line and also demonstrate in '26, not only the crossing of the 20% EBITDA margin, but also to have the substantial growth from organic as well as inorganic side pushing in the right direction. So I'm optimistic about the second half. It's not yet perfect. If next year is perfect or not, we will see and we will guide probably then later in the year. But the underlying elements are all there. And if this confusion is removed, I think we will also see more activities coming our way.
Elodie Yvonne Daniele Rall: And if I could squeeze in a follow-up since you mentioned M&A, and you did say that you closed 4 bolt-on acquisitions, that market conditions were good for consolidation. So if you could just let us know if you expect this pace to continue or accelerate in H2? What kind of contribution from acquisition you are forecasting for this year? And if you're looking at any larger transactions arising on the horizon?
Thomas Hasler: I think it's less that we are indicating larger transactions. It's more the bolt-ons, the small, medium size. As outlined in the PowerPoint, these are the CHF 50 million plus/minus top line acquisitions, which we did 4 of them this year. And of course, you cannot predict the exact closing. Therefore, I'm a bit hesitant to already give an increased guidance for this year, but we have increased opportunity pipeline, and this may then materialize this year, next year, but we see that it is an attractive market opportunity. And we are also considered a very attractive owner especially for family-owned businesses that also want to see that their business is becoming a platform for growth and not the consolidation target for other purposes. So we have here very good discussions. In numbers, I have to be a bit cautious, but this is giving me a clear indication that we can expect more to come. Whenever that materializes, we have to see then with the progress of the individual prospects.
Operator: The next question comes from the line of Yassine Touahri, On Field Investment Research.
Yassine Touahri: Two questions for me. First, CRH announced today the purchase of a company called Eco Material in the U.S. which I understand is the largest supplier of fly ash in the country. What do you think this could mean for the ready-mix industry in the U.S. and for Sika? Do you believe that CRH and the other cement companies could push more aggressively for blended cement, now that they control most of the U.S. fly ash? Or do you think there's still a lot of resistance against blended cement and that this could drive the ready-mix producer to rely more on independent import? If I understand correctly as well, the more blended cement, the ready-mix concrete producer use, the more admixture they use and it would be good for Sika. That would be great to get your view on these developments.
Thomas Hasler: Yes. I mean this is an area where the U.S. has been forever an OPC market where cement was kind of standardized and the concrete mix was then relatively, let's say, uniform and simplified. And absolutely, with the introduction of blended cement, I should say, L1 cement that has been introduced recently has been, from my perspective, a very good sign. Ultimately, what has -- what other markets have done for very long is now also taking place in the U.S., and it offers for us two streams of additional incremental sales. One is this blended cements, of course, also have, let's say, more variability. So we need -- or let's say, the cement producers need also to equalize the blended cements in their manufacturing. So we have this as a value stream. And then downstream with fly ash and blended cements and then also with aggregates, which are becoming more, let's say, challenging, we have further increase in demand for admixtures for concrete to be expected. So these are, for us, let's say, long overdue initiatives and momentum in North America that we believe is helping and boosting also our business in cement and cement additives as well as concrete additives.
Yassine Touahri: And so your view would be that the acquisition of Eco Material by CRH could go in this direction?
Thomas Hasler: I mean, others have also done acquisitions. I think Heidelberg did some acquisitions. I think it is the new theme of the cement players that they are trying to secure. They are not only aggregates, but also, let's say, supplementary materials to be able to then also play in this field and use it for their own downstream ready-mix operation, but as well as the possibility to blend their core product, cement, with this. So this is not unique. This is just the most recent move in this direction.
Yassine Touahri: And very last question. Could you comment a little bit on the very latest volume that you've seen in your recent -- in your geographies in July, if you already have some idea? Any improvement or deterioration versus what we've seen in the second quarter?
Thomas Hasler: I would say, look, July is a summer month. So when you look at Europe, nobody wants to work, but we compare to last year, and we can see that the second half starts a bit like the first half has ended. I think the real, let's say, science will become more clear when we have a full month. And August still will be a bit mixed. And this is about Europe. And I mean in other parts of the world, people are working in August. But -- so in Europe, we have a trend that I talked about, that is also continuing. In other parts of the world, we will see. China especially also with the initiatives we took, how that materializes. I'm confident for the second half. I'm absolutely convinced we are going to bring the guideline -- the guided profitability and on the top line, the modest growth is giving also an indication that not growth at every cost is on our radar. It is clearly also here balancing and we can offset. I think Cedar's question was going in this direction. We are confident we can manage our costs in line with our guidance on the profitability and the top line trends, I expect North America to demonstrate that in the coming months. But more about that then when we talk about the Q3 results.
Operator: The next question is the last question from Harry Dow, Rothschild & Co. Redburn.
Harry Dow: I think just three questions from me. Just firstly on European stimulus. I wonder whether you could give any idea when you think that might flow through to volumes for Sika? Is it something that you're having discussions with customers already on the availability of products into the end of this year, and the start of next? And also whether you think it might be a benefit to pricing as well as volumes? And I also wondered in relation to that, but also maybe more on the defense side of things. Obviously, there is a part of the business that's non-construction kind of the industrial, part of which is automotive, but also wider industry. I wasn't sure if there's any exposure to actually direct defense manufacturing in terms of adhesives or coatings? And then just finally, a follow-up on M&A. I wondered if, obviously, you talked about the pipeline being quite healthy, but I wonder whether it is the market getting more competitive? And whether you could give us an idea of what the multiples, the current sort of market look like relative to history, whether it's sort of higher or lower, and whether the same amount deals sort of conversion ratio are making it across the line today, again, relative to the last kind of 5 years?
Thomas Hasler: Okay. I think on the -- especially on the German stimuli in regards to infrastructure, yes, our organization is heavily preparing and engaged here, first and foremost, on the short-term activities, which are related to renovation. This is going to become visible probably towards the end of this year when first money flows. But certainly next year, we will see more activities in renovation. This is, of course, also something which is steered by the federal agency for the rail and for the roads. So here, a key element is that this increased project activities must be done with, let's say, limited increased labor and time constraints. So here, the acceptance of new solutions is better than ever. Also the sustainability angle that this, let's say, renovation work needs to be done with lower carbon footprint material is helping us at this stage to get ready for the implementation of the renovation in Germany. The longer term, let's say, new infrastructure activities, we also support with the architects, with the engineers and also then creating this longevity targets for the new construction that is planned. Also there, I mean, our discussions with them is indicating very clearly. This is great that we can spend so much money. But we do not have, let's say, the labor to plan and execute. And therefore, they are looking for simplified solutions. They are looking for systems where they can bundle things more likely going forward than in the past, where individual items were sourced and designed. And here, we see also a possibility to leverage our competence and provide these bundles to make those plannings and the execution easier because this is -- we are talking here about the massive increase in spend that is a concern for the engineers and the contractors how to execute if we continue the same way we have built the infrastructure in the past. On the industry side, I think I indicated we have there a momentum that is very encouraging. The automotive industry outside of China is very challenged, but we can increase. This is an industry -- also industrial manufacturing of home appliance and other transportation means is challenged and is seeking support to get more efficient, to use more advanced solution. So the time is actually perfect. When they are low in volume, they are investing into efficiency, upgrading their processes. So we are very active, and we see first results of this in this change of momentum on the industrial manufacturing side. And this takes place everywhere around the globe. This is an efficiency-driven industry. Performance must increase, but cost must come down, and that's where we are engaged, and we also believe that's going to drive future growth in the future. And on the M&A side, I think what I mentioned before, of course, it's always a competitive market. But as mentioned, the exit or the increased exit desires of private owner doesn't come at a higher multiple. It's rather that we have chances here also to make good deals going forward. So it's -- the numbers are higher, but let's say, the multiple pressure is rather less than when it's a high season.
Dominik Slappnig: Okay. Thank you very much. This brings us to the end of our call. Thank you for joining this conference call, and thank you for your sustained interest in Sika. We wish you some wonderful summer days ahead, and goodbye.
Thomas Hasler: Thank you.
Adrian Widmer: Thank you. Bye-bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.